Operator: Greetings, and welcome to Dave's First Quarter 2022 Earnings Call. As a reminder, this conference is being recorded. This afternoon, Dave issued a press release announcing results for the first quarter ended March 31, 2022, which can be found on investors.dave.com. We would like to remind you that during this conference call management will be making forward-looking statements, including statements regarding expectations related to financial guidance, outlook for the sector and company, and the expected investment, and growth initiative. Please note these forward-looking statements are based on current expectations and assumptions, which are subject to risks and uncertainties. These statements reflect the company's views only as of today, should not be relied upon as representative of view as of any subsequent date, and Dave undertakes no obligation to revise or publicly release the results of any revision to these forward-looking statements in light of new information or future events. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For a further discussion of the material risks and other important factors that could affect our financial results, please refer to the company's filings with the SEC, including its Form 8-K filed with the SEC on March 25, 2022. In addition, during today's call, the company will discuss non-GAAP financial measures, which they believe are useful as a supplement measure of Dave's performance. These non-GAAP measures should be considered in addition to, and not as a substitute for or in isolation from GAAP results. You will find additional disclosures regarding the non-GAAP financial measures discussed on today's call in Dave's press release, issued this afternoon, and its filings with the SEC, each of which is posted on the Dave website. The webcast of this call will also be available on the Investor Relations section of the company website. It is now my pleasure to introduce your host, Mr. Jason Wilk, CEO, President, and Chairman of the Board. Thank you, Mr. Wilk. You may begin.
Jason Wilk: Thank you, operator. Good afternoon. And thank you for joining us for our first quarter earnings call. For today's call, I'd like to begin by providing some highlights on the quarter. And then we'll recap our growth strategy oriented towards driving shareholder value. After that, I will turn it to our CFO, Carl Bellman, who will discuss our first quarter results in more detail, as well as our outlook. Now on it some highlights from Q1 2022. During the quarter, we added 340,000 net new members in end of the quarter with approximately 6.4 million total members on the Dave platform. We had an average of 1.45 million monthly transacting members in Q1. As a reminder, a monthly transaction member if someone who makes a funding, spending, ExtraCash or subscription transaction with Dave. This is an important metric for us as we continue building towards becoming the primary banking product for our members and driving daily transactional engagement. Those numbers completed an average of 4.4 transactions per month during the quarter. Our non-GAAP total operating revenue for the quarter was $43.7 billion representing growth of 24% year-over-year. As a reminder, Q1 is historically our latest quarter due to tax refund season, reducing the need for credit amongst our target consumer. Adjusted EBITDA for Q1 was negative $18.3 million as we continue to invest in growth and product development. As we've previously mentioned, over the next eight to 10 quarters our focus continues to be making discipline investments and to achieve profitable growth and unit economics at scale. After this period, we believe will be well positioned to deliver positive adjusted EBITDA and free cash flow going forward. We're seeing encouraging trend through April with record origination volume and monthly transacting members. New member growth and efficiency is also trending favorably. We believe these signal support our macro thesis that waning stimulus and tighter consumer balance sheets make our value proposition even more resonant, giving us the unique opportunity to outperform. With that we are confident reiterating our 2022 guidance that Kyle will discuss in more detail later on the call. At Dave, we continue to be focused on building a superior banking app serving everyday Americans who are struggling with some or all aspects of their financial lives. This large addressable market we are targeting is an estimated to 150 million people who still need our help in the U.S. alone. Now to going to an update on our progress against our strategy to drive growth, which consists of three components. First, utilize our data driven underwriting advantage to profitably grow our ExtraCash resonation and average revenue per member. These credit-first go-to-market strategy is a capital efficient model to acquire customers that we can ultimately grow into longer term banking relationships. Promoting the ability to get money into our members accounts within minutes, enables highly performative direct response advertising that has fasters brand loyalty very early on in the member lifecycle. We're executing well here. Over the course of Q1, we increased total originations by over 20% versus Q4, and increased average revenue per monthly transacting members. We've also increased our average size per origination by nearly 30% versus Q4, and nearly 90% year-over-year with better credit performance in Q1 2022 relative to each of those periods. These trends give us confidence that we can continue to lean in here to drive additional growth. To extend our lead in the industry, over the next few weeks, we'll be increasing our maximum ExtraCash amounts of $500, which we believe will be additive to our marketing message and drive existing member engagement. The average American does not have $400 set aside for emergency. And we will now play an even more meaningful role in enabling significant purchases for our members without the need for them to tap into multiple sources for help. We're also excited to announce that we'll be adding an optional credit building capability to ExtraCash by the end of the second quarter. We will be the first overdraft product to help members build their credit by submitting ExtraCash repayment activity to the major credit bureaus. This is a strong opportunity to differentiate from other competitors, helps us further penetrate our camp with a new value proposition. And as a new potential monetization lever to our product portfolio. There are close to 50 million Americans who do not have a credit score, or have too thin a credit file to dissolve the score. Dave can improve his customers for ExtraCash without a credit score, help them establish credit history for the first time or empowering them to build on what they already have. This will be a meaningful first step in our longer-term strategy to graduate our members to future credit opportunities to grow LTV. The second piece of our growth strategy is to grow our population of monthly transacting members driven by both new user acquisition and increased engagement of our large existing base. As mentioned on our last call, we will continue to deploy marketing dollars where we see efficient returns at scale. With that we're excited to roll out our summer of Dave's campaign starting in early Q3 heading into our seasonal demand period throughout the year. This effort will be a brand new ad campaign, highlighting all of our new features including the new ExtraCash limit, credit building and rewards features. The final piece of the growth strategy is to accelerate banking, adoption and spend frequency ultimately building towards winning primary account status with our members. In late Q2 and throughout early Q3 we will complete the unification of our banking ExtraCash business. Moving forward, all Dave customers new and old will be required to have a daily spending account of which they will receive several benefits including faster and cheaper access to ExtraCash, as well as cash back rewards. We are excited to see the results of this in Q3 and beyond. So to recap, we are pleased with the results we're seeing year-to-date. We have a well-developed plan to further drive our business in the second half of the year. We have strong tailwinds that will aid those initiatives, and a great team is working together to execute on our vision and mission. I would now like to turn the call over to Kyle to review our results from Q1 and review our guidance for 2022. Passing to you, Kyle.
Kyle Beilman: Thank you, Jason. In terms of top line performance, total non-GAAP operating revenues were approximately $43.7 million in Q1 2022, representing 24% year-over-year growth compared to the same period last year. On a GAAP basis, service base revenue was up approximately 21% year-over-year compared to the same period last year, which was primarily driven by growth and ExtraCash originations. We had significant growth in transaction based revenue versus the prior year as our banking product continues to ramp. Q1 GAAP transaction based revenue was approximately $3.3 million, up approximately 64% year-over-year compared to the same period last year. We continue to believe in the opportunity to drive substantial growth in transaction revenue as we integrate the ExtraCash and spend experiences, which Jason mentioned previously, and roll out additional product enhancements throughout the year to drive recurring fan engagement. We think this is an important step towards our longer term ambition of winning primary account status with our members. In terms of key trends, Q1 is a seasonally slower from a growth and engagement perspective as tax refunds reduce the demand for the ExtraCash service. This trend plays itself out both in terms of top of funnel efficiency as well as existing member engagement. As such, we attempt to align our largest marketing and product investments and initiatives to peak demand cycles throughout the year, which are during the summer and holiday season. Next, I'll address our non-GAAP variable profit. This metric is used internally as a helpful indicator of the health and margin profile of our unit economics. To recap the key drivers of this metric, our ExtraCash credit performance, as well as the primary direct cost drivers associated with our broader product portfolio. For the quarter, non-GAAP variable profit was approximately $17.8 million representing of approximate 41% margin relative to our non-GAAP total operating revenues. From a margin perspective, this represents a decline of about 700 basis points relative to Q4. This decline is primarily a function of the timing of higher origination volumes, requiring additional allowances for unrecoverable advances rather than changes in our overall credit performance. Further, we'd note that the period-over-period impacted these changes continue to be impacted by the secondary effects of large scale stimulus in late 2020 and early 2021, which drove large swings in total origination. We expect this noise to moderate going forward. In terms of credit performance for the quarter, we continue to see consistent and strong performance with an average 28 Day delinquency rate of 3.27%, a 22 basis point decrease versus Q4 2021's average. We saw similar decrease or improvement of about 30 basis points in Q1 2022 versus Q1 2021's average. So again, very strong performance from the portfolio. Our five years of experience underwriting our target demographic across nearly $60 million total origination combined with the loyalty of our member base and the very short duration of extra time. That contributed to our strong credit performance even in the current environment. Our newest vintages are performing in line with our expectations and historical benchmarks, which I believe is a testament to our unique technology and capabilities that allow us to manage growth and risk effectively in a variety of markets and cycles. Next, we're seeing tighter gross spreads as we've increased our average size per origination which negatively impacts variable margin at a fixed charge operating. This was an expected trend, and though we're monitoring it closely, it's not something we're concerned about given it is consistent with our overall member engagement strategy. As we can help bring more members up the ExtraCash limit curve, we can serve as a broader state of their needs, driving better funnel conversion and longer-term engagement and retention, all contributing to increase lifetime value. Further, on the cost front, we picked up a thorough evaluation of our vendor stack, which we expect to yield savings and drive variable margin expansion in the second half of the year. We remain committed to building an efficient cost structure and increasing the profitability of our unit economics as we grow. Moving to operating expenses, the provision for unrecoverable advances totaled approximately $13.8 million for Q1 2022 compared to approximately $3.5 million in Q1 2021. The increase was primarily attributable to an increase in advanced volume from approximately $278 million in Q1 2021 to approximately $545 million during Q1 2022. As previously mentioned, significant fluctuation here was driven by volume growth as credit performance remains incredibly strong. It's also important to point out the efficiency of our balance sheet, with total receivables of just $61.8 million supporting the $545 million of origination volume for the quarter. In Q1 2022, processing and servicing fees totaled approximately $6.5 million, compared to approximately $5.2 million for Q1 '21. Again, this increase was primarily attributable to the increase in advanced volume, offset by volume associated discounts and cost savings due to price reductions from our processors, as we grow, we will continue to generate incremental leverage and efficiency as a percentage of our total origination volume in this line item. Our marketing and acquisition spend totaled approximately $12.2 million for Q1 2022 compared to approximately $14 million for Q1 2021. We continue to believe we have amongst the lowest customer acquisition costs in the industry, and that we can grow efficiently, particularly given the relevancy of our value proposition in today's inflationary environment. As of the end of the quarter, we had a total of 6.4 million members, a substantial population for us to continue to market to drive efficient monthly transacting member growth. In terms of outlook for our marketing and member acquisition spend, as I previously mentioned, we're attempting to align our marketing investments in periods of higher seasonal demand and engagement, particularly in the upcoming summer months. This aligns well with our exciting product development initiatives that Jason referenced earlier. Overall for the year, we're expecting to invest between approximately $65 million and $80 million in marketing. This range is a function of the opportunities presented by the market and traction of our new product initiatives, giving us the ability to flex up or down based on expected LTV to CAC return profile. If we feel that we can incrementally scale spend to drive further growth, while maintaining a discipline payback period of 12 to 18 months, and we see a strong case for value creation by deploying additional dollars into our marketing engine. With our strong capital position and positive outlets, we feel uniquely positioned to execute on our growth plan. In terms of adjusted EBITDA, as Jason alluded to earlier, we're still in considerable investment mode that we believe will set us up to drive consistent future growth at scale. Our hiring investments are focused on enhancing our core offerings and building the next generation of products for our business. We expect these investments will allow us to bring more value to our members, increase ARPU with a more robust offering and further penetrate our TAM to deliver strong growth over the next several years. More specifically, we front loaded most of our hiring and other fixed cost investments into the first part of the year. So from a margin perspective, we're expecting to drive much more operating leverage throughout the calendar year. With that backdrop, Q1 2022 adjusted EBITDA was approximately negative $18.3 million, with a GAAP net loss of approximately $34.8 million, which includes a number of one-time non-cash and leaseback related transaction expenses. As of March 31 2022, our fully diluted shares outstanding was $361.9 million. Please visit our investor website where we have a slide detailing our share count. Now, turning to the balance sheet. As a reminder, the closing of the business combination in January added approximately $202 million of cash after expenses, which relative to the $61 million of equity we had raised prior to going public is significant. Further, the additional $100 million of capital received from the FTX investment in Mark provides us with the added capacity and flexibility to pursue further organic and inorganic growth opportunities. Accounting for this new capital as of March 31, 2022 we had approximately $302.3 million of cash and marketable securities on the balance sheet. There's approximately five times the cumulative equity capital that we had raised from our inception through the close of our going public transaction in January. Additionally, we currently have a significant amount of undrawn capacity under our warehouse credit facility, and ample runway to scale that facility as we expand our credit business. Therefore, we believe we're well capitalized to deliver significant growth, execute on our strategy and achieve profitability and positive free cash flow without the need to raise any additional equity capital. Now turning to our outlook, which we are reiterating for the year, we continue to expect non-GAAP total operating revenue to be between $200 million and $230 million for the year. We expect our growth to ramp throughout the year as we realize the expected returns from our investments in marketing and product enhancements. In terms of margin, we continue to expect our non-GAAP variable margins to be in the range of 44% to 48%. Overall, we're very excited about our outlook. We believe the prevailing macro environment is a tailwind for our business. We've gotten strong signal on the start of the second quarter, and that we have a compelling opportunity ahead of us to accelerate growth throughout the rest of the year and beyond. And with that, I'll pass it over the operator for Q&A.
Operator: At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Sagiv Hartmayer with Jefferies. Please proceed with your question.
Unidentified Analyst: Hey, this is [indiscernible]. Thank you for taking my questions. Just to start off a few questions in terms of modeling. Do you mind just confirming your diluted shares outstanding and EPS for the quarter and also when can we expect the balance sheet be released?
Jason Wilk: We will provide the balance sheet, I think we're posting the Q by Friday. And then we have a detailed share count breakdown on the IR page. So just pointing to that for more detailed breakdown there.
Unidentified Analyst: Okay, great. Thank you. And one more in terms of behavioral changes, are you noticing any changes in product set among your customer base? Are you seeing any customers utilizing more of your ancillary products, any color around that would be greatly appreciated.
Jason Wilk: Ancillary products in terms of like Side Hustle?
Unidentified Analyst: Right, right.
Jason Wilk: So I would say we're very focused on the top of funnel and our go-to-market strategy around that the credit first approach, we just find it with a macro environment around the stimulus waiting. In an inflationary environment, that product is really resonating more than ever with folks. We finish off our integration with ExtraCash in the banking business at the end of this quarter and early Q3. So that's where we do think there'll be more meaningful opportunity for people to [indiscernible] fashion further into banking from there. We don't report on Side Hustle stats, but we are looking to revamp that product and we'll probably -- there could be an opportunity later in the year to talk further about it.
Unidentified Analyst: Okay, great, thank you.
Operator: [Operator Instructions] At this time, it looks like we have no more questions in the queue and this does conclude today's conference and you may disconnect your lines at this time. Thank you for your participation.